Operator: Good day, everyone, and welcome to the Sinclair Fourth Quarter and Full Year 2025 Earnings Call. [Operator Instructions] It is now my pleasure to hand the floor over to your host, Chris King, Vice President of Investor Relations. Sir, the floor is yours.
Christopher King: Thank you. Good afternoon, everyone, and thank you for joining Sinclair's Fourth Quarter 2025 Earnings Conference Call. Joining me on the call today are Chris Ripley, our President and Chief Executive Officer; Narinder Sahai, our Executive Vice President and Chief Financial Officer; and Rob Weisbord, our COO and President of Local Media. Before we begin, I want to remind everyone that slides for today's earnings call are available on our website, sbgi.net on the Events & Presentations page of the Investor Relations portion of the site. A webcast replay will remain available on our website until our next quarterly earnings release. Certain matters discussed on this call may include forward-looking statements regarding, among other things, future operating results. Such statements are subject to several risks and uncertainties. Actual results in the future could differ from those described in the forward-looking statements because of various important factors. Such factors have been set forth in the company's most recent reports as filed with the SEC and included in our fourth quarter earnings release. The company undertakes no obligation to update these forward-looking statements. Included on the call will be a discussion of non-GAAP financial measures, specifically adjusted EBITDA. These measures are not formulated in accordance with GAAP, are not meant to replace GAAP measurements and may differ from other companies' uses or formulations. Further discussions and reconciliations of the company's non-GAAP financial measures to comparable GAAP financial measures can be found on our website. Please note that unless otherwise noted, all year-over-year comparisons throughout today's call are presented on an as-reported basis. Let me now turn the call over to Chris Ripley.
Christopher Ripley: Thank you, Chris, and good morning, everyone. Let me begin on Slide 3 with a look at what we accomplished in 2025. This was a year defined by disciplined execution, meaningful simplification of the portfolio and a deliberate positioning of the company for stronger performance in 2026 and beyond. First, we delivered strong financial results. For the year, total revenue was $3.2 billion and adjusted EBITDA was $483 million, both above the midpoint of our guidance. In the fourth quarter, we generated a total revenue of $836 million and adjusted EBITDA of $168 million. Importantly, we saw encouraging trends in our core advertising business. Core advertising grew 14% year-over-year in the fourth quarter, and we're beginning to see early signs of churn stabilization across key MVPD partners. That progress reflects both improving operational execution and the durability of our local content portfolio. Within Ventures, the portfolio generated $104 million of cash distributions during the year, and we ended 2025 with $465 million of cash at Ventures. That liquidity provides flexibility as we move forward with our Ventures separation planning. Beyond financial performance, we took concrete steps to optimize our portfolio. We are progressing on a strategic review of the broadcast business to ensure we are maximizing long-term shareholder value. At the same time, we began planning and preparing for the potential separation of Ventures. We also continue to expect approximately $30 million in annualized run rate synergies by the second half of 2026 related to the JSA and LMA buy-ins, reinforcing the long-term earnings power of the core business. We have closed on 15 partner station acquisitions to date and anticipate almost all of the optimization process to be completed by midyear. And finally, we strengthened our balance sheet and created a deleveraging runway. During the year, we completed a comprehensive debt refinancing in February, retired the final $89 million of our 2027 notes in October and established a $375 million accounts receivable facility in November. As a result, our nearest debt maturity is now December 2029. We ended the year with total debt of $4.4 billion, total liquidity of approximately $1.5 billion and total cash of $866 million. Deleveraging remains our top priority, and we expect cash generation from 2026 through 2028 to support that objective. Taken together, 2025 was a year of strong execution and structural progress, positioning Sinclair with improved flexibility, enhanced focus and a solid foundation as we enter 2026. Turning to Slide 4. I'd like to provide an update on the current regulatory landscape. The industry is awaiting several important decisions that are now in front of the Federal Communications Commission. At the same time, the broader environment remains constructive for local broadcasters, and we continue to feel optimistic about the direction of significant issues. Starting with ownership. FCC Chairman Carr has repeatedly indicated support for modernizing what many consider outdated national ownership rules. President Trump also expressed support for lifting the national ownership cap to facilitate transactions for local broadcasters. We believe there is growing recognition that the regulatory framework should better reflect today's competitive media landscape. Our ability to provide the impactful local journalism that our communities rely on hinges on these reforms. With respect to ATSC 3.0 transition, the FCC is proceeding on accelerating the rollout remains pending. The commission is reviewing the record and a final decision is possible within the next 6 to 9 months. Advancing 3.0 remains important to the industry as it enhances spectral efficiency and enables new revenue streams for broadcasters over time. The 8th Circuit decision vacated -- vacating the top 4 prohibition -- sorry, the 8th Circuit's decision vacated the top 4 provision and the FCC is approving transactions pursuant to that ruling. In addition, the onerous multicast rules were vacated and broadcasters are now again allowed to place a second top 4 station on a multicast channel. Also, as part of the FCC's quadrennial review, the commission is reviewing the potential to allow more than 2 stations to be owned by the same broadcaster in the same market, thus potentially creating even more opportunities for portfolio optimization. In addition, the FCC proceeding regarding network affiliation agreements is still open. The FCC is reviewing the issue, though there has been no indication of timing or ultimate resolution. We remain engaged in that process and continue to believe that policies that strengthen local broadcasters are essential. Lastly, late this afternoon, the FCC launched an inquiry seeking public comment on the sports media marketplace, specifically examining how streaming exclusives affects consumers, broadcasters and free over-the-air access. We applied the inquiry on TV sports rights. Sports programming has long supported localism and local news, and we believe the commission is asking the right questions in this new inquiry. In summary, while several items remain in process, the overall regulatory tone is supportive, and we believe the environment presents a meaningful opportunity for the industry over time. Turning to Ventures. We continue to manage the portfolio with a clear focus on disciplined capital allocation and liquidity. In the fourth quarter, Ventures generated $86 million of cash distributions, bringing the full year total to $104 million. Included in these distributions are exit proceeds from 3 residential apartment complexes generating $75 million. These distributions reflect ongoing minority exits and attractive portfolio management, and they demonstrate our ability to monetize investments while preserving upside in the broader portfolio. At the same time, we remain selective on new capital deployment. We made incremental investments of $25 million in the fourth quarter and $50 million for the full year. That measured pace reflects our disciplined underwriting standards and our commitment to prioritizing returns and balance sheet flexibility. We ended the year with $465 million in cash and cash equivalents at Ventures. That strong liquidity position provides optionality as we advance separating planning and continue to evaluate capital allocation opportunities. Overall, Ventures continues to generate meaningful cash while maintaining a solid capital base, positioning the portfolio to support shareholder value creation going forward. Building on that performance, Slide 6 highlights how the portfolio itself is evolving with over half of the minority investment portfolio now in cash. Our strategy continues to shift from passive minority investments towards majority controlled operating businesses. The objective is straightforward: greater operational influence, stronger alignment with long-term value creation and improved visibility into earnings and cash flow. As part of that transition, during the quarter, we initiated a process to monetize select legacy private equity and venture capital fund positions through secondary market transactions. This represents a deliberate step in repositioning the portfolio and reallocating capital towards areas where we can drive more direct impact. At the same time, we're actively developing a pipeline of acquisition opportunities. Our focus remains on control investments in businesses characterized by durable demand, recurring or nondiscretionary revenue streams and strong free cash flow conversion. Collectively, these actions reflect a portfolio that is becoming more focused, more strategic and increasingly aligned with our long-term objectives. With that, I'll turn the call over to Rob to walk through our operational highlights.
Robert Weisbord: Thank you, Chris, and good afternoon, everyone. Let me walk you through our operational performance and how we're positioned heading into 2026 on Slide 7. We delivered solid growth in core advertising with fourth quarter core revenue up 14% year-over-year driven by strength across most major categories and boosted by our acquisition of Digital Remedy. Advertisers continue to prioritize platforms that provide scale, interactivity and live engagement and broadcast consistently delivers on those attributes. That performance is supported by the continued strength of broadcast audiences, particularly around live sporting events. In 2025, 48 of the top 50 most-watched telecasts aired on broadcast television and 96 of the top 100 were live sporting events. The sports leagues prioritize maximizing fan engagement and broadening their audience, broadcast television remains the most powerful platform for delivering both unmatched national scale and deep local market penetration. These points are emphasized by the NBA returning to NBC beginning with the 2025-2026 season and MLB returning Sunday Night Baseball back to NBC in 2026. Those figures and new rights deals reinforce a clear message: broadcast remains the dominant platform for wide, real-time viewing on a national scale. On the distribution side, we are beginning to see signs of stabilization in industry subscriber trends. While traditional pay TV has faced sustained churn over the past several years, recent data from MVPD partners suggests moderating losses and, in some cases, modest net additions. Early evidence indicates that bundling strategies, especially those pairing linear video with streaming services may be improving the overall consumer value proposition. The potential of stabilizing subscriber trends is meaningful for our business. Distribution revenue remained significant and recurring component of the broadcast model and improved churn dynamics support greater long-term visibility and resilience in that revenue stream. Beyond linear, we continue to see engagement growth across podcasts and social platforms. We recently added a new podcast on our national lineup, expanding into the NBA with our Cousins podcast hosted by NBA Hall of Famers and real-life cousins, Vince Carter and Tracy McGrady. This addition further strengthens our portfolio of professional sports content. As we broaden our audience touch points, we are also extending our brands into live in-person experiences. Recent activations, including the Tailgate Tour and The Block demonstrate our ability to engage audiences beyond traditional broadcast, while creating meaningful opportunities for advertising partners to engage with their consumers. Our next activation will be at the World Cup hosted by Unfiltered Soccer stars Landon Donovan and Tim Howard, who have amongst the most national soccer team appearances of any U.S. players. Now looking ahead, 2026 is shaping up to be a strong year for live sports, with the Winter Olympics delivering record ratings, up over 90% versus the 2022 games and a record number of FIFA World Cup matches scheduled for broadcast television. These additional events come alongside continued strength in NFL and college football program, and we look forward to the college football championships moving back to ABC next year. In addition, in December, Sinclair launched Amazing America 250: From Neighborhood to Nation, a multi-platform celebration of U.S. history, culture, innovation and community spirit. In combination, these marquee events reinforce the long-term value of broadcast by driving reach, ratings and premium advertising demand. As Narinder will discuss in a moment, we anticipate 2026 being a record year for our political revenues in a midterm election cycle, exceeding our 2022 political revenues. In summary, Sinclair continues to execute well on its core broadcast business as the industry prepares for further consolidation. Broadcast differentiated revenue streams remain durable, strengthening in years like these as we enter a political and sports-heavy 2026. And both ratings and subscriber trends are showing positive momentum heading into the new year. With that, I'll turn the call over to Narinder to discuss the financial results in more detail.
Narinder Sahai: Thank you, Rob, and good afternoon, everyone. Turning to Slide 8. Our fourth quarter results exceeded the midpoint of guidance across the total company and our Local Media and Tennis reporting segments, with adjusted EBITDA coming in above the high end of our ranges across all 3. At the total company level, revenue was $836 million, above the midpoint of our guidance range. This performance was supported by distribution revenue of $438 million as subscriber churn moderated across key MVPD partners. Core advertising revenue of $354 million reflected solid demand across most major categories and continued strength in live sports, including the NFL and college football. Adjusted EBITDA was $168 million, exceeding the high end of our guidance range. This outperformance reflects both revenue strength and continued disciplined cost management initiatives during the quarter. In the Local Media segment, total revenue of $734 million benefited from the same distribution and advertising trends we just discussed. Distribution revenue of $384 million and core advertising revenue of $312 million, both exceeded the midpoint of our guidance range. Segment adjusted EBITDA of $153 million comfortably beat the high end of guidance, demonstrating solid cost management on the revenue outperformance. Within the Tennis segment, total revenue of $62 million was above the midpoint of guidance. Adjusted EBITDA of $21 million exceeded the high end of the $12 million to $15 million range, reflecting continued expense discipline and steady performance during the quarter. Capital expenditures on a consolidated basis were $19 million, consistent with prior year levels and in line with the midpoint of our $18 million to $20 million guidance range. Overall, the quarter reflects strong execution, improving subscriber trends, healthy advertising demand and prudent cost management across the company. Continuing to Slide 9. I'll walk through our year-over-year performance for the fourth quarter across the total company in each segment. At the total company level, revenue declined to $836 million from $1 billion in the prior year quarter. As expected, the primary driver for the year-over-year change was political revenue. In the fourth quarter of 2024, we generated $203 million of political revenue compared to $14 million this quarter, reflecting the shift from a political to a nonpolitical year. Core advertising, which excludes political advertising revenue, increased 14% year-over-year on an as-reported basis driven by stronger core demand and incremental digital revenue, including contributions from the Digital Remedy acquisition. Pro forma core advertising growth was 5% year-over-year. Distribution revenue declined 1% year-over-year, largely due to the divestiture of 4 markets to Rincon during the year. Adjusted EBITDA was $168 million compared to $330 million in the prior year quarter with the decline primarily attributable to the expected reduction in political revenue in a nonelection cycle. In the Local Media segment, revenue declined to $734 million from $932 million in the prior year, again, reflecting the absence of material political revenue in 2025. Importantly, core advertising revenue increased 4% as reported and 6% pro forma, supported by strong live sports demand and continued growth in our podcast lineup. Distribution revenue declined 2% as reported and 1% pro forma, consistent with the previously mentioned divestitures and industry continued subscriber churn, not completely offset by step-ups. Local Media adjusted EBITDA was $153 million compared to $321 million in the prior year quarter. The decline was driven primarily by the lower political revenue and was less than the year-over-year political revenue reduction, reflecting disciplined cost management. Turning to the Tennis segment. Total revenue increased to $62 million from $57 million in the prior year quarter. Core advertising revenue increased 20%, supported by household and total viewer ratings growth of 8% and a 12% increase in minutes viewed on Tennis Channel 2, our free ad-supported streaming channel. Distribution revenue increased 10% driven by 25% growth in direct-to-consumer subscribers. Adjusted EBITDA improved 10% year-over-year to $21 million, benefiting from higher revenue and lower production expenses. Overall, while total company reflect -- results reflect the cyclical impact of political revenue, underlying core advertising trends, distribution stability and continued cost discipline demonstrate solid operational execution across the portfolio. Turning to Slide 10. This outlines our debt maturity profile and liquidity position at year-end. Including the borrowing under the AR facility, total Sinclair Television Group, or STG, debt was $4.4 billion. Following our refinancing activity and retirement of 2027 notes in 2025, our nearest material maturity, excluding the AR facility is now in December 2029. At year-end, as defined in our credit agreement, STG net first out first lien leverage was 1.5x, net first lien leverage was 3.9x and total net leverage was 5.3x. And we ended the year with $866 million in consolidated cash, including $401 million at STG and $465 million at Ventures. Including revolver availability, total liquidity was approximately $1.5 billion. On Slide 11, before turning to 2026 guidance, I want to spend a minute on the balance sheet. We laid out a multiyear runway to reduce net leverage through actions that are firmly within our control. First, with the comprehensive refinancing in February 2025, we moved out our debt maturities so that our nearest debt maturity is now December 2029. That materially reduced refinancing risk and gives us time to execute the operating plan and a broader strategic review from a position of strength. Second, we have been active and intentional about debt reduction, including retiring the last $89 million of our 2027 notes in October of 2025. Third, in November 2025, we added more flexibility with a 3-year $375 million AR securitization facility. It enhances liquidity and helps us be opportunistic with debt reduction actions when we see attractive opportunities. Then importantly, we have 2 strong visible cash flow windows in front of us. This year, 2026, is expected to be the record midterm political year, and our priority is to convert that incremental political cash generation directly into net debt reduction. And looking beyond that, 2028 is also expected to be a meaningful political year with the potential for the first dual open primaries in over a decade, creating another opportunity to drive cash flow and further reduce net debt. We have improved flexibility, and we have a clear plan to use upcoming political cycles, along with continued cost discipline to drive sustained deleveraging while preserving the strategic capacity to act when value-creating opportunities emerge. Turning to Slide 12. Let me walk through our full year 2026 guidance. As a reminder, last quarter, we shared preliminary baseline expectations for the key drivers, political, core, distribution and CapEx. Today's full year guidance is consistent with that framework and it reflects what we are seeing in pacing and market conditions as of today. For the total company, we are guiding total revenue of $3.4 billion to $3.54 billion, including distribution revenue of $1.72 billion to $1.79 billion, and core advertising revenue of $1.26 billion to $1.3 billion and political advertising revenue of at least $333 million. We are guiding to adjusted EBITDA for total company of $700 million to $740 million, with CapEx in line with last year between the range of $75 million to $80 million. Net interest expense in the range of $300 million to $310 million, and net cash tax payments of $34 million to $45 million. On the assumptions, I'd like to highlight 4 things, which are consistent with what we said last quarter. First, for core advertising, we're assuming stable core trends, supported by sports-heavy broadcast calendar. At the same time, we expect a typical political crowd out dynamic as political demand ramps consistent with prior comparable cycles, and we are remaining appropriately cautious given macro headwinds in certain categories. Second, for political, we continue to expect at least a strong 2022 midterm performance of $333 million and the landscape across several of our major markets supports that baseline. We are seeing meaningful activity in markets like North Carolina, Maine, Michigan, Nevada, Ohio and Texas primaries with additional competitive house races also in play. It is still early, but our position in these markets gives us confidence in that at least baseline. Third, for distribution, 2026 is a lighter renewal year, and our guidance assumes steady gross distribution revenue with subscriber churn moderating across key MVPDs and churn levels staying comparable to our current experience. Note that our distribution revenue guidance only considers incremental contribution from partner station acquisitions that have already closed. While several partner station optimization activities are pending, we expect to realize the full run rate EBITDA benefit of $30 million by the second half of 2026. And finally, on capital spending, we're guiding to $75 million to $80 million in 2026, essentially flat with 2025, reflecting a more mature phase of our infrastructure transformation with spend focused on maintenance, resiliency and high-return technology investments while keeping CapEx discipline to support continued deleveraging. Stepping back, this guidance reflects a plan we can execute in today's environment, stable core, strong political, disciplined investment levels and importantly, it underpins what we highlighted on our prior slide, which is our intent to translate that cash generation into continued balance sheet improvement. With that, I'll turn the call back to Chris for some closing remarks.
Christopher Ripley: Thanks, Narinder. Before we move forward, I'd like to take a moment to highlight something important to our long-term success. Our commitment to the communities we serve, which you can see on Slide 13. Through Sinclair Cares in 2025, our stations donated an estimated $5.7 million in on-air commercial time and supported more than 300 charitable organizations across our markets. We helped raise nearly $23 million for local causes. Our efforts resulted in nearly 5 million pounds of food collected, more than 2.2 million meals provided, over 184,000 toys distributed and more than 107,000 diapers supplied and thousands of school supplies delivered to students in need. These initiatives reflect the strength of our local footprint and the trusted relationships we've built within our communities. While financial performance is essential, our role as community broadcaster carries responsibilities. We take that responsibility seriously. We're also proud to launch our Amazing America 250 campaign, which will honor America's legacy across Sinclair's portfolio of assets throughout 2026. Our community engagement enriches local lives in the markets that we serve while also strengthening our brands, deepening our advertiser relationships and reinforcing the long-term value of our global franchises. As we wrap up on Slide 14, let me briefly summarize where we stand and how we are positioned headed into 2026 and beyond. First, we continued to execute and build momentum on our core broadcast business. We delivered strong results that met or exceeded our expectations, translating into meaningful cash generation. Core advertising trends remain stable. Live sports continue to anchor audience strength and subscriber churn across key MVPD partners is showing signs of moderation. Second, we have set the foundation for a deleveraging path with substantial flexibility. Over the past year, we extended our maturity runway, increased liquidity and established a defined priority around reducing leverage. Our capital structure is now positioned to support both disciplined debt reduction and strategic optionality. We also remain prepared for industry consolidation, rationalizing the portfolio and acting opportunistically as conditions evolve remain key strategic objectives, particularly within a regulatory environment that continues to move in a constructive direction for local broadcasters. Within Ventures, value realization continues. We generated more than $100 million in cash distributions during 2025, primarily from minority exits while continuing to reposition the portfolio towards greater operational control and long-term value creation. Looking ahead, our 2026 outlook is anchored by a resilient revenue mix, strong midterm political revenue expectations, a sports-heavy broadcast calendar and continued cost discipline. Overall, we believe Sinclair is positioned with improving operational momentum, enhanced balance sheet flexibility and clear strategic direction as we enter 2026. With that, operator, we are now ready to open the line for questions.
Operator: [Operator Instructions] Your first question is coming from Dan Kurnos from The Benchmark StoneX.
Daniel Kurnos: Before I ask my first question, I just want to say, I really appreciate, Narinder, all of the incremental detail, especially in the guide, super helpful. So I appreciate all the transparency that you guys put together on this. Chris, first question, obviously, just around M&A in the environment. You gave sort of a good background for what to expect. I think everybody is waiting to see when or how, I guess, Chairman Carr is going to put cap elimination on the docket. Does it exclude networks? What's the timing? I think there's some hope that it's sooner rather than later. We obviously know you guys have been pretty public in sort of your pursuit of M&A. But to the extent that -- do you think things change if we get it on the docket, if we push it through, we get past whatever legal challenges, mean does that change the way you think that everyone else in the space will be sort of willing to engage around M&A and what that might mean for you guys?
Christopher Ripley: Well, there's no doubt that having a precedence of such a large transaction like Nexstar, Tegna go through and people seeing what the rules are on a confirmed basis is going to be exceptionally helpful for M&A going forward. So I think your -- what you alluded to there is spot on that it's going to be very helpful in terms of paving the way for future transactions. And we specifically are not standing still, right? We're very focused and active on a number of smaller portfolio optimization opportunities. And we're very active in our strategic review of the broadcast business looking for bigger transformational opportunities.
Daniel Kurnos: And then just on the distribution side, look, number is certainly better. I think everyone is hopeful that we continue to see sub declines ease going forward, certainly positive out of charter. You guys get your reverse shot, if you will, at the end of this year. So I don't know if you want to comment on what you think net looks like in the out years. I know you guys talked about all the drivers of growth, including political all the way through '28. But if net becomes a healthier tailwind, that would be yet another arrow in the quiver. So just curious if you have any thoughts on how that might look.
Christopher Ripley: Yes, I think you've got it spot on there, Dan. I mean, look, we gave outlook for gross distribution for the year. And we really don't have the benefit of any large renewals through until the very end of the year. So I think that really shows the confidence that we have in the business. We have -- we set up great deals mainly back in 2024, and we're reaping the benefits of those. We're seeing churn improve from significant large MVPDs. And we think the strategies that they deploy in terms of the great rebundling and what we're seeing in terms of stream inflation and prices continuing to increase there is all auguring well to the fundamentals of the business. And also things like skinny bundles, for instance, which are offering cheaper alternatives to consumers that include the broadcast stations. So there's a lot of trends in place that make us very positive in terms of our future long-term outlook for net returns.
Operator: Your next question is coming from Aaron Watts from Deutsche Bank.
Aaron Watts: Two questions, if I may. First, on core advertising in the TV group, clearly, a healthy finish to the year. Is that reflective of an improved ad environment or more due to the crowd out comparison in the prior year? Are you seeing momentum sustain here in the new year? And relatedly, can you share kind of what percent auto was of the book in '25? Was it up or down? And what you're seeing for that category this year?
Robert Weisbord: I can handle that. Dan, this is Rob. Aaron, I should say, sorry. What we have is it has not to do with the crowd out. We actually increased pace after the political cycle ended. And so it was a healthy return, and it shows cases that the advertisers have big tension for live sports for the return of college football and NFL football. It also strengthened the auto spend. The auto spend in 2025 was down mid-single digits, and that has to do with the tariffs and consumer confidence from the beginning part of the year. In 2026, we have some insight from our NBCs where automotive is very strong. However, that's the smallest part of our portfolio. So we expect that the NBCs around the country with Legendary February will be showcasing strong auto growth. We have moved away from that high dependence on automotive over the last several years as well, but services and legal being some of our top categories as well. And so it bodes well for us going into 2026, following Legendary February with Fox's most amount of broadcast games with the World Cup with many in prime time. And again, with the Olympics being up over 90% ratings, we expect to see that effect in World Cup, and we're significantly ahead of our sales around World Cup. And to support the World Cup, we have Landon Donovan and Tim Howard with Unfiltered Soccer, and we'll be releasing a new women's soccer with Kealia Watt, J.J. Watt's wife, and Julie Ertz from the World Cup team. So we're going to be able to support with activations and being strong wrapped around the World Cup to help drive our core advertising.
Christopher Ripley: And then, Aaron, maybe I would just add on to that. So from a very high level, you certainly saw some weakness in Q2 and Q3 from economic uncertainty, and we felt like that unwound in fourth quarter. So you had the benefit from crowd out reversing and economic conditions becoming more certain and sort of a more normal advertising market. Q1, as Rob noted, will be hard to get a good read on because NBCs will be so big in that quarter given all the programming that they had like the Olympics and Super Bowl. But we're optimistic as you look into Q2 and Q3 and things like tax returns, refunds that will be hitting the marketplace soon that you're going to see a continued rebound from the summer of last year.
Aaron Watts: Okay. That's really helpful. And if I could ask one more. Chris, as you continue to think about strategic opportunities, how much of an impediment are you finding leverage to be in those discussions, if at all? And I believe you had previously suggested that cash from Ventures could potentially play a role in consolidation at the TV group, helping bring pro forma leverage levels down. I don't think we saw that in the Scripps offer. So I just wanted to get your latest thoughts on the fungibility of cash, leverage and the interplay of those for M&A.
Christopher Ripley: Yes. So we have not found that leverage has been an issue in terms of any of the discussions that we've had or are having as it relates to combinations. We've been -- we do have significant liquidity. We have significant cash. So we -- as you saw in the Scripps offer, we were able to actually put cash as a component of the offer. And so, so far, that has not been an impediment whatsoever. And that said, we've said publicly and we'll say again that to the extent it's needed to unlock a strategic and transformative transaction, we would use resources at Ventures. And so the ideal outcome here, as I've stated before, is really a merger on the broadcast side with a spin of Ventures. And we still think that is very much possible and are working hard to achieve that.
Operator: Your next question is coming from David Karnovsky from JPMorgan.
David Karnovsky: Chris, just on the NFL, it's getting a lot of attention. The market, I think, is kind of making an assumption of a higher collective broadcast payment to the league. And I'm curious in that scenario if it plays out, how do you think about the cost getting passed through to the various points of the ecosystem, whether that's your payments to the network, distributor payments to you or kind of ultimately what the consumer will bear here?
Christopher Ripley: Sure. So first, let me comment on the overall situation with the NFL, which there's a lot of news on. And according to most reports, it's the networks that have initiated these early negotiations and these renewals are really 3 years prior to the first opt-out. So we really think that benefits the incumbents, and we welcome early NFL deals to create longer-term certainty within the ecosystem. So we view that overall as a positive. We think that the incumbent broadcast networks are very well positioned to renew and there is potential for new packages to be created to increase the overall payments to the NFL without having to overburden the existing partners with too high of increases. That being said, to your question around how does that cost get absorbed by the ecosystem? Well, we have a comp in that, that just recently happened, where the NBC signed up a very expensive new deal with NBA. And our expectations heading to the end of the year in which that happened, we set our expectations for what we would -- we thought our renewal with NBC would be. And then midyear, they signed up the NBA deal. And then at the end of the year, we renewed with NBC, and we exceeded our expectations that were set before we even knew about the existence of the NBA deal. So long story short is we did not have to absorb the extra cost of the NBA and those costs were largely absorbed by the streaming platform. So the networks all have streaming platforms now. Even Fox has launched its own streaming platform. And in terms of the dynamic between us and the networks, we think we've got a strong political position with things like the FCC proceeding on the network affiliate relationship. And then you also probably saw today another FCC inquiry around the sports marketplace, it's sports on broadcast, more specifically looking into this issue. And then we also have a very strong commercial position in terms of the fact that all of these rights are now on broadcast and on streaming and that cost needs to be more equitably shared between those 2 sides of the house, if you will. And right now, if anything, broadcast is overpaying for what it gets relative to the streaming side of the business.
Operator: Your next question is coming from Benjamin Soff from Deutsche Bank.
Benjamin Soff: Your expenses outperformed guidance nicely this quarter. Can you talk about where that strength came from? And any additional things you're working on in 2026 from an expense management standpoint? And then for Narinder, just a housekeeping question. Could you help us better understand how much of that $30 million from the JSA buy-ins is included in your guidance? And how much opportunity is there for additional similar deals that you haven't already announced?
Narinder Sahai: Yes, Ben, thanks for the question. On the expense side of the equation, it was -- there was no one particular line to call up here. As I referenced in my prepared remarks, when you look at the various segments, Tennis outperformed on the production side and Local Media segment outperformed on the sales and digital expenses as well as various other expense line items. I think I've mentioned this in my prior quarterly call as well that there's a high degree of emphasis here at Sinclair on looking at our overall cost structure and figuring out how best to deliver the top line that we have. And the team is very dialed in and very engaged in the conversation. And so you're just seeing the outcome of that in the quarterly results. So not one particular thing to call out. I would say it was across the board. But I highlighted a few key points there for you. On the specific JSA/LMA question, we haven't really broken that out, but I would say we are maybe 70% of the way there on that. And part of that is baked into the distribution guide, but there are puts and takes there. Given the current subscriber churn, you will not -- if you try to do the math and try to add the numbers in, you won't probably get there because even with subscriber churn staying consistent, you will see from a dollar -- absolute dollar perspective, distribution is going to be down. So I would say we are about 70% of the way complete on the JSA/LMAS.
Operator: [Operator Instructions] Your next question is coming from Fernanda Lima from Morgan Stanley.
Fernanda Vaciloto Lima: Chris, if we could go back to M&A and consolidation. I know that so far, we've seen new interest in certain assets. Interested in hearing your thoughts that if there's no deal in the near term and assuming that the Nexstar-Tegna merger gets approved, but they have to sell some stations, are these assets something that you could potentially be interested in? Is that something you would be willing to wait if we can say that?
Christopher Ripley: Sorry, can you clarify, when you say these assets, what assets are you referring to?
Fernanda Vaciloto Lima: If they are required to sell some stations as part of the M&A approval.
Christopher Ripley: Right. Okay. I got it. Thank you for the clarification. So yes, to the extent that there are divestitures required in that combination, we certainly would be quite interested in looking at those, especially if they create duopoly opportunities in our markets. We've already completed recently 2 duopoly combinations, one in Providence and one in Tulsa, and those are very accretive to our bottom line. And to the extent we can do more of those with sort of one-off station acquisitions, be it from other parties, and we have a number of different processes and conversations going on, on that front. But to the extent there's also an opportunity to buy those out of the Nexstar-Tegna deal, we would be interested in that.
Operator: And that concludes our Q&A session. I will now hand the conference back to Chris Ripley for closing remarks. Please go ahead.
Christopher Ripley: Thank you for joining us today for the Sinclair Q4 Earnings Call. To the extent you have any questions, please give us a call.
Operator: Thank you. Everyone, this concludes today's event. You may disconnect at this time, and have a wonderful day. Thank you for your participation.